Operator: Welcome to the ANSYS Fourth Quarter and Fiscal Year 2022 Earnings Results Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Alex Deruta, Investor Relations Manager. Please go ahead.
Alex Deruta: Good morning, everyone. Our earnings release the related prepared remarks document and the link to our 2022 Form 10-K have all been posted on the homepage of our Investor Relations website. They contain the key financial information and supporting data relative to our fourth quarter and full year financial results and business update as well as our Q1 and fiscal year 2023 outlook and the key underlying quantitative and qualitative assumptions.  Today's presentation contains forward-looking information. Important factors that may affect our future results are discussed in our public filings. Forward-looking statements are based upon our view of the business as of today, and ANSYS undertakes no obligation to update any such information. During this call, we will be referring to non-GAAP financial measures unless otherwise stated. A discussion of the various items that are excluded and the reconciliations of GAAP to the comparable non-GAAP financial measures are included in our earnings release materials. I would now like to turn the call over to our President and CEO, Ajei Gopal, for his opening remarks. Ajei?
Ajei Gopal: Thank you, Alex. Good morning, everyone, and thank you for joining us. Q4 was another excellent quarter for ANSYS and the largest quarter in our history. We beat our financial guidance for the quarter across all key metrics, including ACV, revenue, operating margin and earnings per share. Q4 was the culmination of a strong year for ANSYS. Our industry-leading product portfolio, loyal customer base, strong execution and growing markets enabled us to beat and operationally raise our guidance each quarter of 2022.  This, of course, was despite the continued economic uncertainties brought on by trade sanctions and the war in Ukraine. We grew ACV at 14% in constant currency for the full year. And in the process, we achieved our goal of $2 billion of ACV in 2022. Thanks to this excellent performance, we realized our long-term financial goal set at our Investor Day in 2019. I want to congratulate the entire one ANSYS team, including our dedicated channel partners for the significant accomplishment. In a few minutes, Nicole will discuss our guidance for Q1 and the entire year. This guidance reflects the power of our world-class products, the ongoing demand from our customers and the strength of our business.  I am excited that our results from 2022 and as well as our guidance for 2023 keep us on track to achieving the long-term goals we set out in our investor update in August of 2022. Looking back at 2022, we saw broad-based growth across all major industries, geographies and go-to-market routes. Our direct and indirect channels grew at double digits. Similarly, each of our go-to-market customer segments, enterprise strategic and volume accounts also grew by double digits in constant currency. The Hi-tech and semiconductor, aerospace and defense and automotive and ground transportation sectors were again our top contributors.  From a geographical perspective, we saw strong performances with each region growing ACV better than we expected. And I'm excited to announce that one of our regions, the Americas, recorded over $1 billion in ACV for the first time in our history. I'm also pleased with the performance of our product lines from a more established flagship solutions to our newest offerings. Our top 2 customer agreements for Q4 ACV or in the global high-tech and semiconductor vertical and totaled more than $125 million. Through these contracts, 1 for 3 years and 1 for 4 years, the customers are expanding their use of ANSYS technology into new business segments, which is driving more users, more products and more computations.  These customers have realized a number of benefits by using ANSYS solutions. These include identifying silicon issues during the tape-out sign-off phase, which has saved millions of dollars in respin as well as reducing multilayer PCB preprocessing time from a month to just hours. In Q4, we also signed a contract with NuScale Power, an energy company that is developing modular light water reactors to supply reliable and abundant carbon-free nuclear energy. Instead of relying on cost save physical prototypes, NuScale leverages ANSYS technology to simulate designs for containment, thermal hydraulics and the structural integrity of reactors.  ANSYS solutions play a key role in an extensive product development process that must navigate a strict nuclear approval process in which delays can cost up to $3 million per day. As you heard with this new scale example, structural analysis plays a key role in customer sustainability initiatives. Continuing with the theme of sustainability through our structured solutions I would like to highlight a few examples of how these structures products working in conjunction with the rest of the ANSYS portfolio address this important topic.  ANSYS, of course, was founded as a structured company. Over the last 50 years, we have continually invested to enhance our structure's offerings. The applications for structural simulation have evolved as even the simplest products have become more complicated and today's structure is critical for customers to meet their sustainability goals. Two additional Q4 sales agreements totaling nearly $60 million are driving sustainability in the energy sector. They are both anchored in structural simulation combined with other physics.  The first is with an energy company that is using ANSYS simulation to make its traditional gas and steam industrial turbines more efficient as well as developing blades and the cells for its wind turbines. The second agreement is to assist with the digital transformation of another energy industry leader. This organization is expanding its use of our solutions to include a variety of applications, including structural design, thermal stress, and electric motor design for its robotic arms. By using ANSYS technology, the company has helped to decrease its development costs by 20%. While materials is a newer ANSYS product offering, it works hand-in-hand with structures, particularly when it comes to meeting customers' sustainability goals.  That's because as customers seek to develop more sustainable products, they often consider nontraditional materials, which includes new steels, composites and short fiber reinforced plastics. Structural simulation on these new materials can assess performance to ensure safety and durability while also reducing weight and waste through topology optimization. ANSYS customer nature architects, one of over 1,700 members of our start-up program, is using ANSYS simulation to help its customers further their sustainability programs.  As companies look for more environmentally friendly materials for their products, many are turning to artificially designed metal materials to incorporate functions such as heat conduction, deformation and weight reduction. Using ANSYS for structural analysis and fluid structure interaction Nature's architectures implemented a scripting language that automates simulation tasks and streamlines workflows, which enables the team to visualize and explore new structures.  Our recent release of ANSYS 2023 are one is also helping customers with their sustainability initiatives. For example, ANSYS Granta Selector's enhanced Ecodata and Eco audit functionality helps engineers explore and rapidly iterate amongst design scenarios and material options. The tool empowers users to make sustainable materials straight off early in the product development process before high-fidelity structural analyses are performed and costs are locked in.  ANSYS solutions are not only helping customers to develop more sustainable products, but we are enabling them to do so in a more resource-friendly manner. One such capability is in our one is resource prediction which leverages artificial intelligence and machine learning to predict how much time and memory will be required. Resource prediction will help guide users to achieve their business objectives for example, reducing salt time or decreasing energy consumption.  Another innovation in R1 is aimed at helping customers increase the safety of electric vehicles. As you know, EV fires caused by battery abuse or impacts can be catastrophic. This advanced capability anchored in our structures portfolio brings together multiple ANSYS physics to analyze this complex problem. Specifically, our new safety workflow in ANSYS LS Dyna simultaneously simulates the comprehensive structural electrochemical and thermal responses of batteries that are damaged in an accident or through some other event.  We are not aware of any other commercial solution with this critical functionality to help make electric vehicles safer. In addition to our organic development, we are furthering our structures product leadership through M&A, namely with our recent acquisitions of and Rocky. Dynamor was a longtime ANSYS partner and leader in developing and selling explicit simulation solutions with an emphasis in the automotive industry. develops dummy and human body models in addition to providing development expertise for [indiscernible].  This critical capability provides customers with complete software solutions for crash simulation, occupant safety and production processes. Our acquisition of Rocky solves a sophisticated customer challenge. Nearly 70% of industrial products experienced bulk granular material flows, where different sized particles with complex shapes interact, potentially impacting our product efficiency or structural integrity. Solving this difficult problem requires deep knowledge of both structural mechanics and fluid dynamics.  With the solution from longtime partner, fully integrated into the ANSYS portfolio, users can solve these complex design problems. As a result, our customers will be able to reduce waste improve product quality and predict the performance and durability of equipment. Thanks in part to our sustainability initiatives, Newsweek has named ANSYS to its list of America's most responsible companies for 2023. ANSYS was included in the annual ranking of the 500 most responsible companies based on environmental, social and corporate governance initiatives.  Our inclusion on this list demonstrates our commitment to making customers improve efficiency and reduce waste by minimizing the need for physical prototyping. Turning to partners. I'm excited that Autodesk Fusion 360 Signal Integrity extension powered by ANSYS was commercially released in November by embedding ANSYS' electromagnetic simulation capabilities within Autodesk Fusion 360 printed circuit board designers can access near real-time insights earlier in the design process for smart consumer products.  I'm also pleased that our electromagnetic and semiconductor solutions including ANSYS Redhawk-SC, ANSYS RaptorH and ANSYS HFSS have received GLOBALFOUNDRY certification for its flagship 22FDX platform. That certification enables trip designers to lower costs by reducing excess safety margins and improving system performance without compromising reliability or risking unexpected and damaging interactions amongst design elements. In summary, Q4 was an excellent quarter that kept a fantastic year for ANSYS.  We beat guidance across all key metrics and delivered the best year in company history. And of course, we exceeded our long-term goal of $2 billion in ACV. I am confident in our ability to achieve the goals we set during our most recent investor update in August. Despite some economic uncertainties, our end markets remain robust, and our business has proven its resilience over the years. Over the past few weeks, I've had the opportunity to speak with members of our direct sales team as well as several of our global channel partners.  Reporting strength in the market from the largest enterprises through SMB accounts. Given the importance of research and development, and innovation. The demand for ANSYS simulation continues to be strong because customers understand our compelling value proposition. And that is continuing to drive more users, more products and more computations throughout our customer base. Our momentum coming out of Q4, our strong customer relationships, our robust end markets and our leading product portfolio will propel us through 2023 and beyond.  As a result, we are more confident than ever in our ability to achieve future milestones. And with that, I'll now turn the call over to Nicole. Nicole?
Nicole Anasenes: Thank you, Ajei. Good morning, everyone. Let me begin by saying that 2022 was another outstanding year for ANSYS, and we're optimistic about our 2023 and our long-term outlook given the momentum in our business. For both the fourth quarter and full year 2022, we beat our financial guidance across all key metrics.  This is particularly noteworthy given that we operationally raised our full year guidance across ACV revenue, EPS and operating cash flow for all 3 quarters throughout the course of the year. Additionally, in 2022, we reached new company records across key financial metrics, including ACV, revenue, EPS and operating cash flow. As Ajei mentioned, our growth was broad-based in the quarter and full year 2022 with growth seen across geographic regions, customer types and industries.  As a result of our broad-based performance, we achieved $2.032 billion in ACV in 2022, which surpasses the $2 billion commitment we made at our 2019 Investor Day. For additional context, when translated at 2019 foreign exchange rates, full year 2022 ACV would equal approximately $2.113 billion, further demonstrating the magnitude and quality of our outperformance, which we delivered amidst a global pandemic and a challenging and volatile macro economic environment on. All accounts, 2022 was an outstanding year and we are entering 2023 with momentum and a strong backlog.  Now let me take a few minutes to add some additional perspective on our fourth quarter and full year financial performance and then I'll provide our outlook and key assumptions for 2023 and Q1. Beginning with ACV. We delivered $818 million in Q4 and which grew year-over-year, 8% or 13% in constant currency. For the full year, we recognized $2.32 billion in ACV, growing 9% or 14% in constant currency.  For the quarter and full year, performance was broad-based across customer types, geographies and industries. Our wide rate in growth is evidence of the essential nature of our market leading simulation portfolio and exceptional execution. For additional context, our full year ACV growth of 14% in constant currency came in 4 points higher relative to where we initially set guidance last February. Throughout the course of the year, we absorbed $82 million of nonoperational headwinds and including unprecedented U.S. dollar strengthening and the exit from business in Russia and Belarus, which was more than offset by $94 million of incremental operational momentum. ACV from recurring sources in 2022 grew 9% or 15% in constant currency year-over-year and represented 81% of the total. This momentum in recurring ACV growth is driven by the strong annuity created by our ongoing shift towards subscription leases. For the full year 2022, ACV performance continues to be fueled by the strong growth in subscription leases which grew 18% or 24% in constant currency. Subscription lease ACV crossed over $1 billion to $1.2 billion or 57% of total ACV for the full year.  We continue to expect the growth of our subscription leases to be the underlying driver of the strong annuity that has been building over time and will continue to be a foundation for future growth. Q4 total revenue was $694.7 million and grew 5% or 10% in constant currency, which exceeded the high end of our guidance and was positively impacted by outperforming on ACV. Full year revenue was $2.073 billion and grew 7% or 13% in constant currency. We had strong top line performance in 2022 with ACV and revenue, both growing double digit in constant currency at 14% and 13%, respectively.  In both Q4 and the full year, we executed against our business model of double-digit. We closed the quarter with a total balance of GAAP deferred revenue and backlog of over $1.4 billion, which grew 13% year-over-year. During the quarter, we continued to deliver a business model with strong operating leverage. This yielded a solid fourth quarter gross margin of 94% and an operating margin of 48% which was better than our guidance. We had full year gross margin of 91.8% and operating margin of 42%.  Operating margin was positively impacted by outperforming on revenue. The result was fourth quarter EPS of $3.09, which was also better than our guidance. For the full year, EPS was $7.99. Similar to operating margin, EPS benefited from strong revenue results. Our effective tax rate in the fourth quarter and full year was 18%. Our operating cash flows in the fourth quarter totaled $174 million which benefited from outperforming on ACV and strong collections.  Our unlevered operating cash flow was $181.1 million. For the full year, we had operating cash flow of $631 million, which grew 15%, meaningfully outpacing ACV growth despite significant foreign exchange and nonoperational headwinds. For modeling purposes, 2022 operating cash flow translates to unlevered operating cash flow of $648.1 million. For additional context, we absorbed $39 million of nonoperational headwinds since initiating 2022 operating cash flow guidance last February.  These headwinds, including the exit from this in Russia and Belarus and the adverse impact of foreign exchange were on top of the headwinds from R&E capitalization tax legislation and other law changes already factored into our February 2022 guidance. The $39 million of nonoperational headwinds was offset by $70 million of incremental operational performance throughout the year. The result was operating cash flow that was $31 million better than the midpoint of our February guidance.  This outperformance was driven by several factors, including outperforming on the ACV and margin expansion and the timing of collections. We ended the quarter with $614.6 million of cash and short-term investments on the balance sheet. In line with our capital allocation priorities, we repurchased approximately 225,000 shares during the quarter for around $50 million. For the full year, we repurchased approximately 725,000 shares for around $206 million which was 174% of the average capital return to shareholders in the form of share repurchase over the past 3 years.  We have 1.7 million shares available for repurchase under the current authorized share repurchase program. Now let me turn to the topic of guidance. The underlying momentum in our business and demand for our best-in-class portfolio continues to be strong. We delivered an outstanding Q4 and full year 2022 and we are entering 2023 with momentum and a robust pipeline and backlog, which gives us continued confidence in achieving the long-term outlook that we laid out at our 2022 investor update of 12% constant currency ACV compounded annual growth, inclusive of 1 to 2 points of tuck-in M&A and $3 billion of cumulative unlevered operating cash flow from 2022 to 2025.  Let me start with our full year 2023 guidance. We expect our full year ACV outlook to be in the range of $2.265 billion to $2.335 billion, which represents growth of 11.5% to 14.9% or 9.9% to 13.4% in constant currency. We have a balanced and diversified business, which is driving the broad-based performance and double-digit ACV growth that we expect to see in 2023. Notably, the midpoint of our guidance is on our model of 12% constant currency compounded annual growth that we set at our investor update in August.  We expect revenue to be in the range of $2.242 billion to $2.322 billion, which is growth of 8.2% to 12% and or 6.9% to 10.8% in constant currency. Let me touch on some of the assumptions embedded in our full year guidance. We continue to expect broad-based growth and continued momentum from our large enterprise customers and SMB customers. We also continue to assume that our subscription leases grow faster than perpetual licenses and as a result, ACV is expected to grow faster than revenue as the business model shift towards subscription lease continues. Our full year guidance is based on how we see our book of business and pipeline today.  This brings me to our operating margin guidance. We expect our full year operating margin to be in the range of 41% to 42%. As a result, we expect our full year EPS to be in the range of $8.34 and to $8.86. We expect our full year effective tax rate to be 17.5% and which is 0.5 point lower than the 18% rate we had in 2022. Now let me turn to our full year unlevered operating cash flow guidance.  We are providing guidance for unlevered operating cash flow as it aligns to the long-term $3 billion cumulative cash flow outlook we provided at our 2022 investor update in August. Our 2023 unlevered operating cash flow guidance is a range of $710 million to $760 million. We expect to see another year of significant growth in cash flow levels year-over-year. The implied unlevered operating cash flow growth of 10% to 17% for 2023 on top of the 16% unlevered operating cash flow growth we saw in 2022 exhibits the continued strong operating leverage in our business model.  Further details on the reconciliation of GAAP operating cash flow and the comparable non-GAAP unlevered operating cash flow are contained in our prepared remarks document. Now let me turn to the guidance for Q1. For the first quarter, we expect ACV in the range of $380 million to $400 million and revenue in the range of $482.5 million to $507.5 million. We expect Q1 operating margin in the range of 35.3% to 37.3% and EPS in the range of $1.53 to $1.71. Further details around specific currency rates and other assumptions that have been factored into our outlook for 2023 and Q1 are contained in the prepared remarks document.  I would like to thank the ANSYS team for a fantastic quarter rounding out another exceptionally strong year. Our performance is evidence of the critical nature of our market-leading simulation portfolio as well as the team's operational discipline and focus on customer excellence. Our consistent performance and execution enabled us to deliver above and beyond our 2019 Investor Day and 2022 annual commitments despite a continued challenging and volatile macro environment.  Our core simulation market is strong and growing, and we are excited about the immense opportunity that lies ahead as we continue to help our customers solve their most complex product development challenges. We are entering 2023 with considerable momentum, a resilient and diversified business model with 3 vectors of growth and a healthy backlog and pipeline. All of which fuels the optimism embedded in our full year and long-term outlook.  Operator, we will now open the phone lines to take questions.
Operator: [Operator Instructions]. The first question is from Ken Wong of Oppenheimer.
Ken Wong: Fantastic and fantastic quarter from you guys. Ajei, I wanted to just maybe touch on some of the strength I noticed one segment that really stood out to me was the aerospace and defense from a rev mix perspective, it jumped up. You talked up 7-, 8-figure deals can you maybe highlight some of the underlying drivers there? And as we look out to '23 and beyond, is there still decent runway for those particular growth tailwinds in that particular vertical?
Ajei Gopal: Sure. Ken. So let me briefly talk about aerospace. Our aerospace customers are facing relatively complex challenges, and it's pretty broad-based. And so when you think about some of our business -- we have customers who are focusing on aircraft engines. And obviously, there are a number of trends in that space, whether it comes to lightweighting and energy efficiency, in some cases, electric engines, different fuel sources, so there's a number of different levels of innovation taking place at various points in the AMB aerospace industry. Obviously, in the Space 2.0 world, there are -- there continues to be a lot of innovation and both in larger companies as well as smaller companies.  And then, of course, you've seen some of the work that we've done with significant projects like the web telescope and the dark mission where our project where our technologies were used in the development of those projects. So there's a lot of different activity across the space in this entire aerospace and defense world for us. And I believe that the demand for our offerings continues to be robust, and we see a pipeline in that space as well.
Ken Wong: Great. And then a follow-up for you, Nicole. Just wanted to touch on the unlevered operating cash flow guide. I mean, look, it's a fantastic number of building off of a really strong '22. I guess as we think about the long-term targets I think there was sort of an underlying assumption that there would be expansion. I guess my calculation suggests it's kind of closer to, I think, it looks like 32% off of a 32% number. Is it just you guys see a little more room for growth this year and we should still assume long term that, that number does continue to expand. Just some puts and takes there would be fantastic.
Nicole Anasenes: Yes. Well, thanks, Ken. And yes, we were really, really pleased with the exceptional close of our cash flow performance at the end of the year, as you point out, it grew quite substantially delevered operating cash flow in 2022 in our outlook range of 10% to 17% unlevered operating cash flow indicates continued momentum in the business overall.  As you know, I mean, we gave long-term guidance in August. We're not prepared to update the long-term guidance. But when you look at the combined -- the 2-year growth rate of 2022 and 2023 from the ECB perspective, and the comparative unlevered operating cash flow growth rate over that period, you could see the substantial operating leverage and margin expansion associated with that it's a little early for us to update long-term guidance we just gave it 6 months ago. But what I can say is -- and there's a lot of exogenous factors that impacted unlevered operating cash flow number as you know, foreign exchange had a pretty meaningful impact to that last year.  As an example, we're still not quite out of the woods as it relates to that so not really prepared to give anything longer term than 2023 today, but we feel really good about the underlying strength of the operational momentum of the business. We have a very disciplined investment model around putting investment in, that drives incremental growth. And those are things that we -- that we expect to be able to continue to build on over the next couple of years.
Operator: The next question is from Joe Vruwink of Baird.
Joseph Vruwink: Great. ACV in an organic basis seems to be growing, I think, several hundred basis points above the framework that was provided last year. I guess my question is, within that 2022 to '25 time line, were the years 2022 and 2023 always intended to be this way, just given, I don't know, pricing or renewals or the shift to leases? And if that's not the case, maybe you can just walk through some of the upside drivers the last year and then in terms of your outlook for this year?
Nicole Anasenes: Yes, sure. So maybe just kind of level set on what the makeup of 2022 was in 2023, we can talk about the long term. So as we previously mentioned, the inorganic contribution from ZMAX last year, we had said it was about $20 million. And that, as you point out, contributed around a point of growth to the overall performance last year. As we look into 2023, we completed 2 acquisitions at the end of the quarter after our earnings announcement. were the most notable were 2 that completed at that time. Just some context of those is a product we were the primary reseller for already.  And it's also a pretty small product line so it doesn't have a very material run rate to the business. And although we already had a relationship with we expect the inorganic contribution from that transaction to be around EUR 30 million to EUR 35 million of ACV in revenue. So with just under half of that in Q1. So there's a pretty different SKUs to that business relative to ours. So that would put us around the 10% constant currency growth in ACV when you exclude Dyna more our full year outlook which is on our business model of double-digit growth, including ACV.  As it relates to the long-term view of ACV and how we see it, I mean, we there isn't a perspective in particular around what happened in 2022 and how that would change the outlook in the future are out, we still remain confident in the 12% compounded annual growth rate through the course of that time. And certainly, as trends in the business change and the underlying -- anything that foundationally would shift that growth objective, we would certainly update our long-term guidance at that time.  But right now, we're really pleased with what we delivered in 2022 and we're building -- we have a really strong outlook for 2023 on top of a really strong performance in 2022, and we're really pleased to continue to be on that model that we set out in.
Joseph Vruwink: Okay. Great. was a bit bigger now. I was thinking. So that's all helpful. And then there was an interesting comment on just performance across your different customer segments. I guess, I'll ask, are there any, I guess, noticeable changes in spending patterns when you think inside your top 100 and outside? And I guess, at the heart of this question, is the strong pace of the outlook for 1Q. Typically, I think about that being outside the big year-end enterprise activity. And so is this indicating maybe strength that is more broad across the customer base at the start of the year?
Nicole Anasenes: Yes. I mean as we said in our prepared remarks, and I think we've said that throughout last year, the underlying drivers of growth in 2022 was very broad-based across customer geographies industries and the outlook considers very similar broad-based. There's no individual customer concentration. There is one element to Q1 guidance, and I had think I briefly mentioned this in the first part of my answer to you on M&A -- on the M&A impact. does have a slightly different SKUs to their business. There's just under half of the business that actually happens -- and so a little bit more than half -- a little bit less than -- or bit less than half of the business in Q1. So there is a little bit of a dynamic around Dynamar that is earlier on in the year relative to the future periods in the year that we have a slightly different pattern than maybe some of the more kind of smaller impacts on a quarterly basis that you see of some of the other M&A that we've done in the past.
Operator: The next question is from Jay Vleeschhouwer of Griffin Securities.
Jay Vleeschhouwer: Let me ask your question that we've been posing to your CEO peers at the other companies in the group. And that is in the context of what you've defined as a dozen elements of your long-term technology strategy when you think about 2023 spending priorities and beyond, what are -- in terms of your R&D, the most incremental or newest priorities over and above your base investments in solvers and not the solvers.  What would you say are some of your most important or newer executables as far as R&D are concerned, and then second question, at the Analyst Meeting 6 months ago, you spoke of a variety of growth vectors, among which you described the traditional use cases and new use cases when you think about '23 guidance, is there any way you could relate the way you thought about those growth vectors to '23 guidance in terms of the traditional use cases and new or which you also referred to as connected and integrated workflows. Thank you.
Ajei Gopal: So Jay, so firstly, when you think about our technical priorities will be areas that we're making investments in our business, I would say that probably 5 broad areas where we're making technological investments. The first I would broadly categorize as numerics and that includes physics models and methods for both the physics and multiphysics. That's just the core physics part of what we do. The second area is in AI machine learning where we're making significant investments across the portfolio.  Our customers today are seeing the benefits of ANSYS products that have been enhanced through AI. We've, of course, filed patents to cover some of our work in the space, and we continue to make significant investments in AI and getting our customers to be able to take advantage of this great technology in the context of our offerings. The third area is high-performance computing. That obviously includes -- that obviously includes both HBC as well as CPUs, GPUs and so for example, if you look at R1, we just announced some really exciting work on [indiscernible] for example, our optical solver where we can show that a single GPU is something like 8x faster than the 32 core CPU machine.  And then, of course, we're very excited about a fluent multi-GPU solver which allows fluid simulations to run natively on multiple GPUs, and that is a game changer in terms of performance, and we can show tremendous orders of magnitude scale up and in terms of both performance as well as, of course, cost savings when it comes to things like energy usage and others. So we are very excited about the work that we've done in the GPU space, and we continue to make investments over there.  Cloud and experience is the fourth area. That includes the work that we're doing in cloud. You may have seen some recent announcements where we're -- we've announced some of our cloud technology in the context of our cloud marketplace offerings, and we continue to invest in cloud native capabilities as well as user experience. And the last area is in digital engineering, and that includes things like digital twins, mission, system simulation and there, we continue to make advances.  And you saw, obviously, some of the capabilities of our product lines on the space. Unintended when you -- when we talked about James Webb as well as the dark mission, but certainly, we have ongoing investments in that space as well, and that includes things like NBFC. So broadly, there are 5 areas: numerics, AI, ML, high-performance computing, cloud and experience and digital engineering and these are the areas that are driving our next-generation activities.
Nicole Anasenes: Yes. And Jay, to answer your question on kind of connection to customer demand, I think the way that you could think about it, if you look at these if you kind of refer to the trends that Ajei just referred to as well as the underlying kind of performance in our industry mix. I mean much of what's driving that demand are the complex multi-business use cases and the trends that are driving investment in those areas, right? So we talked about double-digit growth -- double-digit growth in automotive in Q4 as an example, and the things that are driving those trends are really around the next generation of vehicles and technology that are connected to things like electrification, sustainability, those types of things.  As you know, those are not a single component level. Single [indiscernible] problem, which are falling to that traditional use case, they are complex multiphysics forms that involve both component level all the way to the system and systems of system level particularly in cases like space 2.0 alerting. And so what we are seeing is more and more of that strategic selling motion becoming the main focus of -- or the main motion of how we engage our customers and be solving those higher order complex problems, which makes us a very important partner regardless of what kind of economic times, people may be having -- we help sell those very difficult problems known can help sell.
Operator: Next question is from Steve Tusa of JPMorgan.
Steve Tusa: Just a question on the kind of the cadence of the guide. I think you mentioned the acquisition influence on the 1Q. It seems like the 1Q is pretty strong from a margin and revenue growth perspective. And then Matt, if you just kind of back out the next 3 quarters, it's slower and margins, I think, are down year-over-year. Maybe I'm doing the calc wrong. Can you just talk about a bit of what's going on there?
Nicole Anasenes: Sure. So first, one of the aspects to the business since the accounting change for the 606 accounting change several years back. is that the dynamics around revenue recognition creates a lot of volatility in the P&L and particularly on a quarterly basis. And that's because the difference in the underlying mix of licenses on a year-over-year basis can significantly influence the dynamics around revenue recognition. And so the margins the kind of pattern throughout the year is a little less meaningful in kind of extrapolating kind of where directional momentum is going particularly in the P&L. We do also have similar variability in quarters as customers have moved to multiyear leases -- it is not as much of a selling motion where it's only about an event at a point in time that kind of comes up once a year, there's an ongoing selling process that happens kind of throughout the year where ACV can be remixed relative for a single customer relative to what the prior year looks like.  So there's considerable volatility that happened throughout the quarters. And that's why we're really focused on being really clear about our full year guidance where our full year outlook is for ACV and operating cash flow and particularly in particular, in the P&L overall. And the way that we feel we're indicating kind of the change in the trajectory of the business is with our updates to the full year guidance. And so that's how that's how we would think about it overall is really around that. And I think you could see that in kind of how we went through our guidance last year.  And if we could look at the beginning of the year, there was a 4-point difference in ACV as an example, as we progressed throughout the year. And that's because our philosophy is that we look -- we give guidance based on what we see ahead of us today and what the pipeline in the book of business looks like today. And as things change, up or down, we will be clear about what changes. We don't try to create wide ranges, which predict macro trends or things that we can't control. We try to look at it in terms of where our book of business is today. So does that answer your question?
Steve Tusa: Yes, that's helpful. I guess you were pretty clear in mentioning that you're seeing strength across large enterprises as well as small and medium-sized businesses, which is clearly different than what some other obviously not simulation companies, but more of the PLM and CAD guys are saying. So I just wanted to make sure there was nothing in that guidance that was contrary to that comment where it seems like the strength is broad-based and really not slowing. So the guidance is really not meant to reflect that kind of macro outlook.
Nicole Anasenes: Yes, absolutely. I mean it is the variability within the timing of things in the quarters can create some ups and downs throughout the year. But the overall outlook, which we think is quite strong out of the gate is really a reflection of broad-based demand, as you point out.
Steve Tusa: Great. Just one more on 1Q. Any color on cash flow for 1Q.
Nicole Anasenes: Cash flow, so we do not give quarterly cash flow guidance because the dynamics around cash flow within a quarter because change because of timing of payments that fall over date lines -- or timing of collections that could sell over datelines quite easily and make really meaningful differences. But for modeling purposes, I think you can assume that a meaningful portion of the cash flow occurs in Q1, particularly off of a strong Q4.  And Q1 and Q4 tend to be the largest cash flow quarters. The middle 2 quarters tend to be a little bit more muted with Q2 being probably the lower water mark.
Operator: Okay. The next question is from Saket Kalia of Barclays.
Saket Kalia: And well done on a strong finish to -- thank you Nicole, maybe for you, very helpful on the ACV contribution from inorganic. I was wondering if you could just talk about that from just a margin and free cash flow perspective. And just to preface it a little bit, I mean, ANSYS is, of course, so profitable. It's rare that a tuck-in acquisition is accretive to margins. But can you just maybe just give us some broad brushes on operating margins, that is.  Can you just give us some broad brushes on how and and maybe any of the other kind of acquisitions for mid-'22 are impacting that margin here in '23? And whether those acquisitions are maybe additive or dilutive to operating cash flow?
Nicole Anasenes: Yes. Thanks, Saket. So as you point out, in almost every acquisition we do is dilutive to actual margin. So there is no accretion for margin that occurs with some or any individual acquisition we have. Now as it relates to cash flow, Cash flow is also relatively more muted in the first year. I mean, sometimes you can have some slight positive impacts cash flow. But as you know, there's meaningful year one expenses associated with integration and those types of things, which are normal operating cash outflows. And so as it relates to the most significant kind of individual contributor to the overall portfolio would be the example. That did have some contribution to the underlying cash flow guide, but it's really modest relative to what it might be on an ongoing basis.
Saket Kalia: Got it. Got it. That's very helpful. Ajei, maybe for my follow-up for you. You touched on this in the question just around R&D priorities with some of the public cloud announcements, which I thought were very notable this quarter with both AWS and Azure. Maybe just a higher-level question. How do you sort of think about the mix of simulation being done on public cloud hyperscalers versus more traditional on-premise or private cloud simulation being done within your customer base -- and how do you sort of see that mix shifting? How -- does that make sense?
Ajei Gopal: Yes, it does. Thank you for the question. Look, the way you should think about it is, from an ANSYS perspective, we're really agnostic as to where someone might be able to run our solutions. I mean we want -- I mean, one of the primary uses of cloud today is for high-performance computing applications. And so we know that we have customers who are taking advantage of the licenses that we make available to them and they're using them in the public cloud. And really, from our perspective, we want people to have the flexibility to be able to use to be whatever environment where they have compute available. Obviously, as time goes on, there is a clear trend even in the largest organizations, which have invested in data centers there is a clear trend towards taking advantage of public cloud.  And obviously, as the public cloud vendors are continuing to invest in scientific computing capabilities, where the nodes that are available have the requisite needs for scientific computing, that's also driving incremental usage. So it is clearly an ongoing it is clearly an ongoing direction and something that we expect to see happen. From our strategy, I mean, look, we are very excited about the public cloud being used from our strategy perspective, we have, as you know, 2 distinct kinds of cloud offerings, what we call cloud marketplace and what we call cloud native and this combination of marketplace and native takes full advantage of everything that we previously talked about as well as some of the newly developed and announced cloud capabilities.  The marketplace offerings are really about delivering flexibility to our existing customer base. So it's really giving customers, as I said earlier, giving them the option to maintain the same patterns that they employ today, taking advantage of familiar ANSYS products while leveraging the benefit of cloud computing and their own pre-existing relationships with cloud service providers. And so you mentioned the ANSYS Gateway with AWS, which we released in Q4 of last year. You talked about the announcement we made in February of this year where we extended our Microsoft partnership in the Agile marketplace offering. So there's a number of activities in that space.  On the cloud native space, we're targeting new users and new use cases, and that's really a cloud-based platform for the development and deployment of new workflows and applications. And as if you remember back at our Investor Day, we talked about a new area of verticalized simulation applications where the power of simulation gets extended far beyond its current user base to, frankly, anyone who needs predictive analytics.  And so we have initiatives and R&D efforts underway in that space. And it's still very early days, but you should stay tuned for more progress as we continue to move this exciting technology for the rollout.
Operator: The next question is from Tyler Radke of Citi.
Tyler Radke: Yes. Some really impressive results in Germany and Japan this quarter, and I think you talked about some big wins with the automakers. Could you just talk about some of the drivers of that outperformance in the quarter? And in these large deals with the automakers, like what exactly is driving the large expansions and maybe go into some detail in terms of the higher simulation core count that you're seeing in electronic motor design. And if you could just elaborate on some of the trends driving that?
Ajei Gopal: Sure. I mean, look, the automotive business is one of our top 3 industries, as you know, top 3 verticals as we define it, growth high tech and semiconductor, aerospace and defense and automotive and ground transportation. And it continues to be a strong area. And we've got deep relationships with our automotive customers as they continue to face these complex challenges with their products. And there's a number of things -- there's a number of areas where they're continuing to innovate. Firstly, obviously, if you think about passenger cars for a moment, there is clearly a direction towards fuel efficiency and so on in more traditional cars in the traditional internal combustion engine and that deals with lightweighting, et cetera, crash testing, those are across all of the product lines.  But as you start to think about the next-generation electrification alternative energies, those are all important themes where customers are investing and making investments for the long term. Battery technology. And I hope me mention an example of some of the work that we're doing there with impact analysis with the -- in my script earlier. So there's a lot of work in multiple areas taking place that are supporting the automotive customers I would just point out, by the way, that as we think about the work that takes place, for example, with electrification in the automotive industry, the work that leads to that includes the entire supply chain and then may be suppliers who are in our high-tech vertical or building very high-tech components that are then being used in the automotive space.  And so if you start to look at the entire supply chain, the impact of automotive is very large across the industry as they're looking at all of these different areas. Now the breadth of our technology and the breadth of the portfolio I mean it's so large that we are able to help our customers as they are looking at all of these different issues. Sustainability is another example. And that's why I think you're seeing strength in these industries, the sophisticated industries, which require these -- which are going through these transformations, we are able to help our customers navigate through these next-generation [indiscernible] that they're facing or trends of the dealing with the market.
Tyler Radke: And a follow-up for Nicole. Obviously, the profitability performance in the quarter and outlook was pretty strong. I'm wondering if there's any cost savings or OpEx specific initiatives that you're undertaking or if this is just a result of the top line outperformance. But if you could just -- obviously, a lot of companies out there taking a look at the processes and people certainly, you're not facing the level of growth challenges.  There's a lot of other software companies. But just curious if there's any incremental initiatives on the cost side that you're pursuing here.
Nicole Anasenes: Thanks, Tyler. So what I would say is, yes, that the operating -- we have very strong operating leverage in the business because we have relatively low variable costs and so that's why you can definitely see as we continue to accelerate growth, the operating leverage in the business. Now it comes down to what do you do with that incremental growth? And how do you reinvest it and I would say that we have a tremendous amount of operational discipline around decision-making around investments that is not new to ANSYS. It is kind of embedded in how we make decisions and how we prioritize where we put investments with an eye towards how do we get return with a balance on what is helping us for the short term and how are we making sure that we're prudently investing for the long term.  And so that strategy has served us well. It has allowed us to continue to invest in the business as things -- as things are good and make sure we can accelerate our road map. It also helps us understand how we need to monitor things over time. And so there's nothing quite new and an always-on basis, we're always reevaluating our processes and looking at have a pretty robust enterprise-wide transformation process around how do we remove the unnecessary work in the way that we support the business.  And again, that's not new to influence the outlook, but it is the reason why we can stay the course on the strategy that we have because we've always been operationally disciplined. So even when there's times with uncertainty, we're confident that we have the maneuverability to execute.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Ajei Gopal: Once again, I am excited by the excellent progress ANSYS made in 2022. I would like to thank the one ANSYS team around the world for our ongoing success. The team's work our broad-based business momentum and our strong customer relationships give us even greater confidence in our ability to execute against long-term goals. Thank you again for joining today's call, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.